Operator: If you would like to ask a question, please press 1 on your telephone keypad. To withdraw your question, press 1 again. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. I will now turn the call over to Sarah Jane Schneider, Vice President, Investor Relations.
Sarah Jane Schneider: Thank you, and welcome to NCR Voyix Corporation’s Q4 2025 earnings conference call covering our 2025 fourth quarter and full-year results. A copy of our earnings release and the presentation we will reference are available on the Investor Relations section of our website at www.ncrvoyix.com and have been filed with the SEC. With me on the call today are James Kelly, Chief Executive Officer; Nick East, Chief Product Officer; Darren Wilson, President, Retail and Payments; Benny Tadele, President, Restaurants; and Brian J. Webb-Walsh, Chief Financial Officer. Before we begin, please note that today’s remarks will contain forward-looking statements. These statements are subject to risks, uncertainties, and other factors that could cause actual results to differ materially. Please refer to our earnings release and SEC filings for additional information. We undertake no obligation to update these statements. We will also discuss certain non-GAAP financial measures, which we believe provide additional clarity regarding our performance. Reconciliations to the most comparable GAAP measures are included in our press release and supplemental materials on our website. With that, I will turn the call over to James Kelly.
James Kelly: Thanks, SJ, and good morning, everyone. Thank you for joining us for our fourth quarter and year-end earnings call. Our results for both the quarter and the full year reflect the positioning of the company now as a platform-led business supported by our leading service capabilities and integrated payment solutions. As we began our transition, it became clear that while we had a strong product team, we lacked centralized product leadership at the executive level. Making this a critical leadership role, Nick was appointed our first Chief Product Officer across both retail and restaurant. Nick originally joined the company through a prior acquisition and brought the right combination of technology expertise and deep company knowledge to step into this role. Nick has been instrumental in accelerating the launch of our new platform solutions and repositioning us as a platform-powered company. Reflecting on 2025, my initial objective as CEO was to strengthen our executive leadership across retail and products, reorganize and fortify our sales organization, and deliver our platform solutions to market. Accordingly, I appointed Darren as President of Retail and Payments. Since stepping into the role, Darren has appointed new leadership across three of our four regions, revamped the sales compensation plan, and played a key role in outlining expectations for our platform solutions as we work to achieve sustainable growth. The most consequential achievement in 2025 was the completion of a five-year transformation that rebuilt the company’s software foundation from the ground up. More than 50 legacy on-premise applications were modernized and unified into a single scalable platform built to power the mission-critical operations customers rely on every day. In addition to these achievements, we executed a series of cost actions to address the termination of the hardware ODM agreement. We streamlined and sourced key functions and began consolidating redundant systems. We engaged with nearly 400 companies, including more than 100 new prospects, and hosted investor events featuring live demonstrations of our Voyix portfolio. A clear illustration of the market’s confidence in our go-forward strategy is reflected in the feedback received at the NRF show in New York this January. Our successful execution was on full display as we launched our modernized products, providing a strong foundation from which to scale. We are very encouraged by the response from both new and existing customers and the demand our new offering is already generating, as reflected in the more than 20 platform contracts we have signed, including three in the fourth quarter. This includes two new retail customers in the Philippines and Belgium, and our first enterprise restaurant platform customer Chipotle. We continue to broaden our payments offering across geographies and industry verticals and expand our payment capabilities. We are enhancing our proprietary gateway, Voyix Connect, to be able to scale our payments business together with the rollout of our platform solutions. Later on the call, Darren will discuss our recent progress in more detail. Next is services. With global scale and deep domain expertise, we operate inside some of the most complex retail, restaurant, and fuel environments in the world. Our services business represents over 50% of total revenue today and remains a clear competitive differentiator for enterprise business. We are leveraging our service organization to expand our existing customer relationships and win new business, particularly as we deploy our new platform solutions. This will improve operational efficiency and deployment speed for both retailers and restaurants. Finally, as we recently announced, the phased transition of our hardware business to EnerCom commenced in early January. We remain on track to complete the transition by the end of the first quarter. Brian will provide additional details on the financial impact later on the call. With that, I will turn the call over to Nick.
Nick East: Developed over the past three decades across geographies and vertical markets, our end-to-end offering provides the flexibility and agility—as well as integrated payments and support services—to enhance the consumer experience and drive operational efficiencies. For the first time, we were able to showcase a fully integrated modern cloud platform that leverages our extensive global software library of more than 30,000 unique features, IT security, and insights for retailers and restaurants across supply chain and back office, and toward adoption of a comprehensive set of capabilities spanning point of sale, self-checkout, and platform management. The capabilities we previewed at NRF will be lab-ready by the second quarter, with initial customer deployments scheduled for the back half of the year. This represents a meaningful step on our path toward broader commercialization and scaling of our platform. Based on the more than 20 customer contracts we have already signed, we have a backlog that we expect to deploy consistently over the next nine to eighteen months, which aligns with the enterprise market segment and the technology roadmap to be able to accelerate new implementations, deliver seamless updates, and lower deployment costs for both the customer and the company. Further, our platform is designed for innovation at pace in the cloud and at the edge, allowing customers such as Chipotle to innovate their operations. In 2026, our product team is focused on AI innovation for the platform. For example, we are now leveraging AI to examine the business logic of the live production stores of our customers. This again demonstrates the innovation and speed at NCR Voyix Corporation. In addition, we have developed and demonstrated a store-in-a-box offering for major fuel that could be self-deployed in under fifteen minutes. These offerings are priced to meet the expectations of small and mid-market customers, and we will launch our restaurants and grocery offerings in the second half of the year. Since NRF, we continue to engage new and existing customers in our labs and at major trade shows globally. Darren recently returned from EuroShop in Düsseldorf, where our demonstrations generated strong interest and reinforced demand for our platform solutions. Next month, James will attend Retail Tech Japan to showcase our localized applications, and in May, Benny will be at the National Restaurant Association Show in Chicago. We are building on this early momentum to meet the growing demand for our modern cloud-to-edge solutions. With that, I will turn the call over to Darren.
Darren Wilson: Thanks, Nick. I would like to begin with an update on our payments strategy. Historically, third parties have had the ability to connect directly. Going forward, all third-party integrations will route through the gateway, improving security, consistency, and scalability. We continue to scale our payments capabilities across industry verticals and geographic markets. Voyix Connect, our proprietary gateway, serves as the conduit between our platform—including payments—and third-party authorization processes. More broadly, the gateway becomes the single integration layer into individual applications for our platform. In the U.S., we continued to progress on integrating Voyix Connect with Corpay and WEX to be able to support commercial fuel payments. We achieved certification with Corpay in January and expect to be certified by WEX in the second quarter. We also migrated our remaining customers from the JetPay front-end platform. Our U.S. payment offering now includes both gateway and processing, and we are registered as an acquirer. Internationally, we remain focused on expanding Voyix Connect to integrate with local acquirers and enable processing through end-market referral partners to scale our payments business more quickly. Lastly, we recently signed a referral agreement in Mexico to support payment acceptance for our customers in Latin America. For example, we continue to implement pricing escalators where appropriate across certain retail and restaurant contracts with most agreements structured on three- to five-year terms. These escalators are being introduced upon renewal for both new and existing customers as they adopt our platform offerings. As a result, the financial impact will build gradually over time. Our primary focus remains embedding our end-to-end payment solutions with our enhanced gateway functionality later in the year. We will look to form similar relationships for our customers in Canada and Europe. This deepens integration, removes intermediaries between POS and payments, lowers customer costs and complexity, expands recurring revenue, and increases long-term value for both our customers and the company. Turning to retail. In the fourth quarter, our retail business signed 40 new customers. Our platform and payment sites increased 6% and 12%, respectively. Software ARR increased 8% and total ARR increased 4% in the quarter. The launch of Voyix POS and our fully integrated platform solutions continue to show early signs of success, as demonstrated by two new enterprise logos we secured in the fourth quarter. We secured a long-term agreement with Colruyt Group, a leading Belgium-based grocery chain, to implement Voyix POS for grocery across more than 850 stores in Belgium, Luxembourg, and France. These customers chose to adopt the Voyix Commerce platform functionality because of the flexibility and operational efficiencies it provides. These solutions will allow them to integrate their entire technology estate, improve both in-store and above-store functionality—including third-party applications—and seamlessly adopt additional capabilities following the initial rollout. In Asia Pacific, we signed a multi-year contract with 7-Eleven Philippines, the number one convenience retailer in the Philippines, and will implement Voyix POS for c-store across more than four and a half thousand stores beginning later this year. The rate at which we are attracting retailers to our platform solutions has further accelerated following our demonstrations at the trade shows we recently attended. I am confident that this trend will continue as we also ramp our initial platform contracts following our upcoming deployments across our global footprint. With that, I will turn the call over to Benny.
Benny Tadele: Thanks, Darren. In the fourth quarter, our restaurant business signed more than 150 new customers. Software ARR increased 3% and total ARR increased 6%, while SMB performance was impacted by headwinds related to market dynamics and the legacy nature of our current SMB offering. Our enterprise and mid-market segments maintained steady growth this quarter, excluding our SMB business. Platform and payment sites increased 11% and 13%, respectively. In the fourth quarter, we renewed and expanded our long-standing relationship with Red Robin, a fast-casual chain with nearly 500 locations across the U.S. and Canada. Our new five-year agreement includes managing the service desk operations and delivering all tools, technology, and support. Additionally, as an existing user of Aloha point of sale, Red Robin will now be the first enterprise table service brand to adopt Aloha OrderPay, our next-generation handheld solution to improve ordering speed and guest satisfaction. As shared in November, the launch of Aloha Next enabled us to renew and expand our partnership with Chipotle through an exclusive six-year global agreement. The rollout remains on schedule, with Aloha Next now in their lab and both teams remaining aligned on readiness milestones. In addition to Chipotle, we are now in two additional enterprise restaurant labs, underscoring the confidence global brands are placing in our latest technology. We are advancing the deployment of additional platform capabilities, including Menu and SmartManager. Menu is being rolled out to multiple enterprise customers next month, enabling real-time unified menu management across channels. SmartManager is already in pilot with multiple customers. These early implementations are providing valuable insight into sequencing and workflows and further strengthen our value proposition for restaurant operators. As we enter 2026, we are encouraged by the momentum in our enterprise pipeline and the depth of customer engagement. Our strategy is resonating in the market, and we are well positioned for accelerated growth in the year ahead. In our SMB business, we are reengaging with customers in preparation for the launch of Aloha Next. Designed for the SMB space, our modern and cloud-native store-in-a-box solution, Aloha Next for SMB, will launch in the second half of the year. It streamlines workflows, reduces costs, supports quick self-installation, and allows restaurants to easily scale features as they grow. We will look to sell our latest solution into our existing base and to new prospects to address the recent performance of this business and enhance the growth profile of our restaurant segment. I will now turn the call over to Brian.
Brian J. Webb-Walsh: Our results for the quarter and for the year were in line with our expectations and reflect the progress we have made to streamline our organization and reposition the company as a platform-led business supported by our leading services offerings and integrated payments capabilities. For the quarter, total revenue increased 6% to $720 million due to higher hardware sales in the period, partially offset by lower fees earned from the transitional service agreements with NCR Atleos and Conduent. Reported recurring revenue increased 1% to $422 million, and 3% when excluding a certain divestiture. Software ARR and total ARR both increased 3%. Platform sites increased 8% to 80,000, and payment sites increased 4% to 8,600. Adjusted EBITDA increased 17% to $130 million as margin expanded 170 basis points to 18.1%, driven primarily by our cost containment actions. Non-GAAP EPS increased 48% to $0.31, while GAAP EPS was $0.49 in the fourth quarter. The GAAP EPS included a $65 million tax benefit related to a legal entity restructuring we completed in Q4. The cash from this will likely be received in 2027. Turning to our segment results. Retail segment revenue increased 9% to $508 million, primarily due to higher hardware sales. Recurring revenue increased 3% to $279 million, driven by an improvement in software revenue. Segment adjusted EBITDA increased 12% to $114 million, as margin increased 70 basis points year over year to 22.8%, driven by revenue growth coupled with our cost initiatives. Turning to restaurants. Total segment revenue of $212 million was flat, which reflects hardware growth offset by a decline in one-time software and services revenue. Recurring revenue increased 6% within our enterprise and mid-market businesses, and weaker performance in the SMB business, as Benny outlined. Segment adjusted EBITDA decreased 3% to $66 million, as margin decreased 110 basis points to 31.1% due to lower one-time software and services revenue compared to the prior-year period. Lastly, net corporate and other expenses decreased $9 million, or 15%, to $50 million. Turning to our cash flow. Adjusted free cash flow, excluding restructuring, for the full year was $136 million, about $40 million below expectations due to timing, including a $13 million delayed tax refund and higher working capital use primarily from increased hardware sales and inventory. Restructuring cash outflows of $109 million were related to severance, stranded costs from the spin-off of the ATM business and the sale of the digital banking business, internal infrastructure investments, and, to a lesser extent, ODM transition costs. We invested $46 million in capital expenditures during the quarter and $165 million for the year, inclusive of accelerated product investments. These investments directly enable the launch of our new platform solutions unveiled at the NAC show last October and the NRF show this January. In December, we also sold a non-core warehouse and training facility, which generated an additional $60 million in cash for the quarter as we continue to streamline our footprint. We ended the quarter with net leverage of 2.1x based on our net debt as of December 31 and the full-year adjusted EBITDA. Finally, we repurchased approximately 69,000 shares, or 25%, of the Series A convertible preferred stock for $74 million, in addition to $4 million of common shares. We expect to complete the ODM transition by March 31. Thereafter, hardware will be sourced through EnerCom, and we will earn a commission rather than carry it in inventory. Turning to our 2026 outlook, we expect reported revenue of $2.210 billion to $2.325 billion, down 13% to 18% due to the ODM implementation, effective April 1. On a pro forma basis, adjusting for the change in hardware revenue recognition, revenue is expected to be down 2% to up 3%. Adjusted EBITDA is expected to be $440 million to $445 million, or 4% to 7% growth, and non-GAAP adjusted EPS is expected to be between $0.93 and $0.96, or 3% to 6% growth. Seasonality remains consistent with 2025, with Q1 expected to be the lowest quarter. For both retail and restaurants, we expect recurring revenue to improve throughout the year. We expect margins for both segments to step up in Q2 upon implementing the hardware ODM model. Restaurant margin will improve modestly through the year, and retail margin should show additional expansion. Adjusted free cash flow is expected to be between $190 million to $220 million, reflecting the partial-year working capital benefit from the ODM transition, offset by approximately $120 million of anticipated cash outlays related to the following: severance actions taken in 2025 and 2026, stranded costs associated with the completion of the spin-off, internal infrastructure investments, costs related to the ODM transition, and an accrued litigation matter. We anticipate the elevated restructuring will step down in 2027. I will now turn the call over to James for closing remarks.
James Kelly: In 2025, we completed a heavy lift. Using AI and our application library, we modernized more than 50 legacy solutions into a unified cloud-to-edge platform. That five-year effort leaves us with a modern architecture, full-feature capability, and the ability to serve all segments of the market domestically and internationally on one integrated platform. I view this as a three-year term with year one complete. Now we move from transformation to scaling. In 2026, the focus is building backlog across all markets, accelerating deployments, and driving adoption across retailers and restaurants. We are no longer building the platform. We are selling it and delivering it. Enterprise implementation takes time. Enterprise relationships know our markets, understand how to position the comprehensive value of our platform, and are executing with discipline and focus. As a modernized infrastructure, we are well positioned to continue delivering the full functionality they rely on today through a modern platform that provides materially greater capability. What gives me the strongest belief in our ability to deliver is our seasoned sales leadership and the team behind them. A critical component of that conviction is building meaningful sales backlog this year. The backlog we build in 2026 begins to accelerate revenue in the second half of the year into 2027 and beyond. As a reminder, we support approximately 400 of the world’s leading enterprise retail and restaurant customers across the 35 markets in which we operate. Making backlog a key metric, this is complemented by new customer logos we are winning in the market, accelerating recurring revenue and overall revenue growth this year into next. I will now turn the call over to the operator for Q&A.
Operator: Thank you. We will now begin the question-and-answer session. If you have dialed in and would like to ask a question, please press 1 on your telephone keypad. If you are called upon to ask your question and are listening by a loudspeaker, please pick up your handset and ensure your phone is not on mute. Your first question comes from the line of Matt Summerville with D.A. Davidson. Your line is now open.
Matt Summerville: In the back half of the year when it comes to organic revenue, is there any sort of comparison versus the prior year, the prior couple-year period, and how that metric informs the sort of inflection you are pointing to? And then I will follow up. Thank you.
Brian J. Webb-Walsh: Thanks, Matt. I’ll start and then hand it to James. As we look to the back half, the organic trajectory ties closely to the timing of deployments from our growing platform backlog. James can add more color on cadence and enterprise timelines.
James Kelly: Our customer base, while we cover the full spectrum from SMB to enterprise, the enterprise side is our most significant segment. And that group, as I mentioned in the comments, takes time for them to modernize—nine to eighteen months is what I’ve seen here, sometimes even longer. The products that were on display at NRF in January are the ones now in active demand. We’ve done 25 demos since NRF, and Darren just came back from Düsseldorf with strong interest. We’re at the beginning of this modernization cycle. We already have more than 20 customers that have signed contracts, and those will be deployed this year into next. One of the things Darren, Benny, and I, along with a broader team, worked on was a revamp of the compensation plan. This is the first time in a long time the company has come to market with something truly material rather than re-selling legacy applications. For right now, backlog is the more important KPI for us to focus on. It’s not new to the company, but we’ve now structured incentives to reward signing accounts. We see backlog starting to build because we have 20 customers that have already purchased and signed, and we are focused on accelerating those deployments this year. Nick can add a couple of concrete examples.
Nick East: Maybe just give you a couple of concrete examples because it does vary by customer and also by product that they are adopting. Right now, over the next two weeks, we have a customer rolling out our AI Pick List Assist functionality. That’s a simple add-on, the deployment is automated, and it will roll to all stores after a couple of months of pretesting—so three to four months end-to-end across a large estate. But for major POS changes, in retail especially, there are seasonal freeze periods around November when you can’t make changes. So any complex rollout invariably bridges a year and has to navigate those blackout periods. The pace depends on the extent of environmental change and integrations—whether it’s a simple add-on like Pick List Assist or a more complex transformation.
James Kelly: There are components to it. The product can deploy in under an hour into a store environment, but there’s still training. Even though we can modernize and emulate existing screens to ease migration, stores must learn new features. As Darren mentioned, 7-Eleven Philippines—4,000 to 5,000 stores—will take time. We’re accumulating backlog across nine to eighteen months, and we’ll move as fast as possible, but this is “heart surgery” for these customers—mission-critical to their revenue. It has to go smoothly with no disruption to store operations. Hopefully that clarifies your question.
Matt Summerville: Appreciate the color. And then, a follow-up: I was hoping you could expand a little bit on Benny’s SMB comments and the headwinds you saw in the quarter. Is this something more acute as far as the guide for 2026, or something more chronic? And kind of frame up what that means.
James Kelly: Historically, the SMB is the smallest piece of the business here. The SMB market is highly competitive and fast to churn, and over time—especially following acquisitions of portions of the dealer network—we’ve seen contraction. More recently, the announcement around Aloha Next and the legacy nature of our SMB products versus modern competitors have been headwinds. Unlike enterprise, SMB has a large number of ISVs and new entrants. Our prior SMB offering didn’t fully leverage cloud benefits in the way the market expects. I made the decision over the summer to pivot quickly to next-gen, and with Aloha Next and our store-in-a-box approach, we’ll be positioned in the second half to address this more effectively. I expect improvement over time. Benny, anything you’d add?
Benny Tadele: James summarized it well. Three points: first, there’s the historical context of how the SMB business was managed and integrated. Second, the SMB buying journey is very price-sensitive, fast to switch, and highly fragmented with many entrants—so competition isn’t just about product, it’s about a crowded market. Third, the product we had in that segment contributed to the pressure. With Aloha Next launching in the second half as a cost-effective, easy-to-implement store-in-a-box, we expect to address these issues and improve performance.
Operator: Your next question comes from the line of Kartik Mehta with Northcoast Research.
Kartik Mehta: Hey. Good morning. Hey, James. You have made a lot of changes at the company. It seems like things are moving in the right direction. You are on this ODM hardware transition. Once that is complete, what do you think is the organic revenue growth rate of this business?
James Kelly: Thank you, Kartik. It’s evolving. As I said in my comments, we expect 2026 to improve in software, services, and payments, excluding hardware. One headwind the market is seeing is AI-driven chip demand and related pricing, which could have an impact. But culturally, we’ve also shifted: historically, there wasn’t consistent price escalation on the retail side. I’m confident we’ll see ARR and total revenue grow and accelerate locations into 2026 and especially 2027 as deployments ramp. As we deploy these applications, we’ll see a software step-up—our platform is market-leading in configuration across retail and restaurant—and we’re embedding payments with new sales rather than retrofitting legacy estates. I expect this to be a good year, and next year to be even better.
Kartik Mehta: Perfect. And just a follow-up, Darren, in your prepared remarks, you talked about the third-party integration and maybe change there. What is the benefit? Is there a revenue benefit, cost benefit, cross-sales benefit? What is the benefit to Voyix from the changes you are making?
Darren Wilson: The key benefit for customers is a single, integrated solution—one throat to choke. With our gateway as the integration point, we control the end-to-end proposition across hardware, software, deployment, payments, and service. Commercially, we capture pricing upside by switching revenue from third-party payments providers to ourselves, often at similar cost to the customer, and we can optimize incentives across the total solution. Strategically, end-to-end payments data in our platform—tracking from supply chain through SKU, checkout, reconciliation, and settlement—unlocks value for retailers and feeds loyalty and analytics. So the benefits span service quality, revenue capture, simplification, and data-driven value.
Kartik Mehta: Perfect. Thanks, Darren. Really appreciate it.
Operator: Again, if you would like to ask a question, please press 1 on your telephone keypad. Your next question comes from the line of Daniel Perlin with RBC Capital Markets. Your line is now open.
Matt Roswell: Yes. Good morning. It’s Matt Roswell filling in for Dan this morning. Two questions. First, more of a guidance modeling question: can you walk through some of the puts and takes around adjusted EBITDA and margin—the accelerated investments, the ODM transition, etc.? It looks like a 250 to 300 basis point margin improvement over last year, with some from the shift to the ODM model April 1.
Brian J. Webb-Walsh: Thanks, Matt. EBITDA is growing 4% to 7%, a bit faster than revenue. We are lapping some tailwinds from last year—specifically TSA fees that helped 2025 and roll off in 2026—which tempers the year-over-year growth. The accelerated investments you mentioned were largely CapEx last year, so they don’t impact EBITDA in 2026. The remainder is margin improvement from cost actions already taken and additional actions as we move through the year, plus the mix and margin benefits from implementing the ODM model beginning in Q2.
Matt Roswell: Okay. Excellent. And then bigger picture question. Where do we stand with the Worldpay agreement in terms of payments?
James Kelly: The agreement was signed earlier in the year and the plan remains consistent. The focus of that agreement was on JetPay, and as Darren mentioned, that migration is complete. On enterprise, rather than retrofitting legacy applications, we’re prioritizing embedding payments with new platform sales as customers modernize to our architecture. As we meet with customers, we’re positioning holistic new installs that include payments as part of the platform deployment.
Operator: That concludes our question and answer session. I will now turn the call back to the CEO for closing remarks. Ladies and gentlemen, that concludes today’s call. Thank you all for joining. You may now disconnect.
James Kelly: Thank you, operator, and thank you all for your continued interest in NCR Voyix Corporation.